Graeme Jennings - VP, IR and Corporate Communications:
Renaud Adams - President and CEO:
Maarten Theunissen - CFO:
Bruno Lemelin - COO:
Anita Soni - CIBC World Markets:
Mohamed Sidibe - National Bank:
Tanya Jakusconek - Scotiabank:
Carey MacRury - Canaccord Genuity:
Lawson Winder - Bank of America:
Operator: Thank you for standing by. This is the conference operator. Welcome to the IAMGOLD First Quarter 2025, Operating and Financial Results Conference Call and Webcast. As a reminder, today, all participants are in listen only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] At this time, I would like to turn the conference over to Graeme Jennings, VP, Investor Relations and Corporate Communications for IAMGOLD. Please go ahead, Mr. Jennings.
Graeme Jennings: Thank you, operator, and welcome everyone to our conference call today. Joining us on the call are Renaud Adams, President and Chief Executive Officer; Maarten Theunissen, Chief Financial Officer; Bruno Lemelin, Chief Operating Officer; Annie Torkia Lagace, Chief Legal and Strategy Officer; and Dorena Quinn, Chief People Officer. We are calling today from IAMGOLD's Toronto office, which is located on Treaty 13 territory, on the traditional lands of many nations, including the Mississaugas of the Credit, the Anishnabeg, the Chippewa, Haudenosaunee, and the Wendat peoples. At IAMGOLD, we believe respecting and upholding Indigenous rights is founded upon relationships that foster trust, transparency, and mutual respect. Please note that our remarks on this call will include forward-looking statements and refer to non-IFRS measures. We encourage you to refer to the cautionary statements and disclosures on non-IFRS measures included in the presentation and the reconciliations of these measures in our most recent MD&A, each under the heading non-GAAP financial measures. With respect to the technical information to be discussed, please refer to the information in the presentation under the heading Qualified Person and Technical Information. The slides referenced on this call can be viewed on our website. I will now turn the call over to our President and CEO, Renaud Adams.
Renaud Adams : Thank you, Graeme, and good morning, everyone, and thank you for joining us. And I know it's a busy morning with earnings results, so we'll do our best to move things along. IAMGOLD began the year with a modest production of 161,000 ounces, but yet achieved several key milestones that further position the company for a much stronger remainder of the year. We remain very confident in our 2025 attributable production guidance target of 735,000 to 820,000 ounces, with stronger quarterly production expected from each of our operations over the remainder of the year. At Cote, we have recently celebrated the best month of operations in March and April, achieving monthly throughput of 1 million tonnes processed, with the plant operating now at the 90% plus of nameplate. This progress positions us well to complete the ramp-up to nameplate production of 36,000 tonnes per day by the end of the year. Meanwhile, we believe we have a significant amount of value yet to uncover. This year, we are conducting a significant drill program in the Cote and Gosselin zones in support of a technical report in 2026, incorporating a mine plan that will bring these zones together into a unified superfit, and outline a larger-scale operation, build off a significant portion of the over 20 million ounces of resources in this zone, making Cote one of the largest gold mines in Canada. At Essakane, we will continue to do safe operation of the mine, prioritizing the ability to maximize cash flow generations and dividend payment out of the country. As mining moves deeper into the pit in Q2, we expect to see improvements in grade reconciliation and stronger quality gold productions for the remainder of the year. And at Westwood, our focus is on expanding our underground mining areas and continuing our strong record of resource-to-reserve conversion. Westwood made significant strides last year to become a positive cash flow generating asset, and we believe there is a significant potential to improve the value further through the drill pit and are increasing the feed of higher-grade materials to the mill. Financially, we are quickly working through our gold prepayment arrangement, which in and of itself is a form of debt retirement. Taking together with the prepays behind us by mid-year, IAMGOLD will be an 800,000-ounce-per-year producer with full exposure to gold price and significant cash flow generation from three free cash flowing assets, yet trading at a fraction of our mid-tier peers on the price-to-cash flow basis. Further, with the Cote expansion scenario and the rapid growth of our Nelligan's and Monster Lakes assets in Quebec, which combined have nearly 9 million ounces of global resources, this means IAMGOLD offers a robust organic growth portfolio within our own backyard. Now let's dive into the first quarter. Operating performance always starts with safety, as ensuring all of our employees and contractors go home safely is priority number one. In the first quarter, our total recordable injury frequency rate was 0.67, a slight uptick from the prior quarter. Management has instituted a new safety program in control, with a focus on critical risk management and visible leadership to reduce high-potential incidents. Additionally, yesterday the company released its 2024 Sustainability Report, which marked the 18th year of IAMGOLD disclosing the sustainability topics and information that are most material to our stakeholders and our business. As an organization and member of the community, we are proud of our dedication to responsible mining practices, the core element of the IAMGOLD culture. Looking at operations, IAMGOLD started the year with attributable production of 161,000 ounces, as both Cote and Westwood production was lighter than the prior quarter, partially offset by modestly higher production at Essakane. The first quarter was expected to be the lightest quarter of production this year, due to the ramp-up in associated maintenance activity at Cote, limiting throughput early in the year, and the expectation of the transitions to higher grade in the second half at Essakane. As Westwood production decreased from the prior quarter, what is expected to resume its recent track record of strong performance as development continues to improve flexibility in the mine. Cash costs averaged $1,459 per ounce, and all in sustaining costs averaged $1,908 per ounce in the first quarter. Costs are expected to decline quarter over quarter as production ramps up, and we remain confident in our cost guidance for the year. While lighter, the first quarter production of 161,000 ounces represents a net increase of 7% year-over-year at an increased margin, largely driven by the addition of Cote Gold, which moved from 1.0 in March 2024 to 90% plus nameplate in March 2025. This resulted in an increase of our mine site free cash flow to $140 million in Q1, compared to $46 million in the same period of the prior year. With that, I will pass the call over to our CFO to walk us through our financial results and position. Maarten?
Maarten Theunissen: Thank you, Renaud, and good morning, everyone. In terms of our financial position, at the end of the quarter, IAMGOLD had $316.6 million in cash and cash equivalents, a net debt of $882.3 million. The company has $210 million drawn on the credit facility, and approximately $428.5 million remains available, resulting in liquidity at March 31 of approximately $745.8 million. We note that within our cash and cash equivalents, $200 million was held by Essakane and Burkina Faso, $46.9 million was held by the Cote Gold unincorporated joint venture, and $60.6 million was held in the Corporate Treasury. Regarding our excess cash at Essakane, this cash is repaid areas through dividend payments, of which the company will receive its share based on its ownership, so 90% currently, net of dividend taxes. The size of the dividend is dependent on cash held in the projected cash generation at Essakane. Last year, we declared $180 million dividend in the second quarter, with the company receiving its net share in September and October. We expect a similar process this year, in which we will be declaring our dividend the second quarter, with disbursement in the second half of the year. On the debt side of the balance sheet, this year offers a significant inflection point for our goal, with the increase in gold prices providing us with the ability to accelerate our plan to reduce the amount and cost of our debt. One element of this that we are making good progress on is our delivery into the gold prepay arrangements. During the first quarter of this year, the company delivered 37,500 ounces into the gold prepay arrangements, and we are 75% complete with the last 37,500 ounces’ deliverable during the second quarter. This is a considerable amount of debt that the company has repaid. The cash flow impact of delivering into the 37,500 ounces totaled approximately $107 million during the quarter. Subsequent to the quarter end, a further 12,500 ounces was delivered in April, reducing the outstanding balance of ounces remaining to be delivered into the prepay arrangements to 25,000 ounces as of today. Once we have completed delivering into the gold prepay arrangements, as part of our plan to reduce our carrying costs of debt and debt levels, the company can start to repay its $400 million term loan at the end of May in $20 million installments at 104% of the face value and 101% of the face value to be paid after May 2026. The term loan has relatively higher interest in our other debt in our capital structure, and responsibly paying down this facility would achieve our objective to reduce the amount and cost of our debt. Looking at the cash flow vertical for the first quarter at the bottom of Slide 7, we can see the impact of delivering into our gold prepayments has had on our operating cash flows. Cash from operating activities, including the non-cash revenue of $77.7 million, before financing charges that was received when the gold prepay was entered into, and IAMGOLD would have received $107 million if the 37,500 ounces were sold in the market during the quarter. By July this year, the prepay obligations will be completed and IAMGOLD will be fully exposed to the gold price at a time when we expect to see increases in production. Looking at the quarter and our financial results, revenues totaled $477.1 million from sales of 174,000 gold ounces at an average realized price of $2,731 per ounce, including the impact of the gold prepay arrangement. Excluding the impact of the gold prepay, our average realized price was $2,909 per ounce. The strong gold price translated to an adjusted EBITDA of $204.5 million, compared to $152.5 million in the first quarter of 2024. Adjusted earnings were $55.2 million in the first quarter, or $0.10 per share. Mine site free cash flow was $57.6 million at Cote, $65.4 million at Essakane, and $16.6 million at Westwood, totaling $139.6 million for the quarter. As we look ahead for IAMGOLD, we are continuously analyzing what the appropriate capital structure is for an organization of this size with expected cash flow generation. Ultimately, we look forward to discussing the potential of returning value to our shareholders, whether through share buybacks or dividends. But first, we need to ensure that we achieve our targets and that the business is appropriately funded and we have produced our data to appropriate levels. And with that, I will pass the call to Bruno Lemelin.
Bruno Lemelin: Thank you, Martin. Starting with Cote Gold, it was a critical first quarter at Cote, with the first winter at full production. As it is the case for any ramp-up of a large mining project, there is a learning curve for the operations and maintenance team. They learn the stress points in every process and make adjustments to adapt to real conditions. During the first quarter, we experienced accelerated maintenance in our grinding area. However, we managed to operate without major interruptions due to weather. We also hit new records for stability and utilization in March, with continued improvement through April. This is very positive progress for an operation of this size. A year ago, on March 31st, Cote poured its first gold bar. Commercial production was then achieved effectively four months after starting production. And now we have hit the 90% monthly milestone about 11 months after pouring first gold. This is a great achievement and we remain on target towards our goal to achieve full nameplate of 36,000 tonnes per day before the end of the year, again within the 20-month estimate as projected initially. Looking at the quarter, Cote produced 73,000 ounces on a 100% basis in the first quarter. Production was lower in the quarter due to lower tonnes processed and the revised grade profile of the mine. We need to know that the mine moves away from segregated styling to a more efficient and streamlined bulk mining model. Mining activity totals 10.8 million tonnes in the first quarter, essentially flat from Q4 2024. Ore mine decreased slightly to 3.1 million tonnes, with an associated increase in the strip ratio to 2.5 to 1. The average grade of mined ore was 0.78 gram per tonne in the quarter, which reflects the updated mining schedule as mining activities expand the pit. As Cote transitioned towards a bulk mining model and reduces re-handling. Further, we saw an increase in the volume of blasted ore in the pit provide greater flexibility in supporting the planned mill feed this year. The mining process improvements and the starts of the transition towards bulk mining saw some immediate benefits, as we saw a decrease in ore mining units cost to $3.49 per tonne, down from $4.19 per tonne in the prior quarter. Costs are expected to continue to decrease over the course of the year, as mining operations continue to ramp up closer to the target of 1 million tonnes a week and rehandling is reduced. On the processing side, mill throughput in the first quarter totaled 2.1 million tonnes as a result of maintenance and repair activities on the HPGR in January and February, as we discussed on our last earning calls. The changeover of the HPGR roles was completed in February 2025, and we continue to make improvements to increase the lifespan of the planned equipment. For the HPGR, this includes adding some water to reduce the generation of abrasive dust, revising the roller liner material, and ensuring that a replacement set of rollers is always at site and ready to go. Once the repairs were completed in February, the plant was able to resume its momentum, achieving a record monthly throughput of 1 million tonnes in March, or 90% of nameplate. This performance continued in April, as over the last 30 days, Cote averaged 34,500 tonnes per day, or 96% of nameplate. With a record 14 days in which the plant operated above nameplate capacity. Head grades in the first quarter averaged 1.17 grams per ton, which were in line with our guidance of 1.1, 1.2 grams per tonne, with feed material comprised of a combination of direct feed ore and stockpile. Recoveries in the plant averaged 93% in the quarter, a modest step up as we saw the gravity circuit come online in the quarter. The reconciliation between the reserve models, grade control models, and mill feed continues in line with the expected tolerance. Milling costs was $20.18 per tonne milled during the first three months. Unit costs were elevated in the first quarter due to the lower tonnes processed, higher parts, and contractor costs from the increased maintenance activity, and costs associated with the refeed circuit to support the mill feed during maintenance period. Unit costs are expected to decrease over the course of the year as throughput increases towards nameplate capacity and as operations and maintenance processes stabilize. For example, in March, when Cote processed 1 million tonnes, processing costs averaged around $15 a tonne. Further improvement can be expected with the installation of the additional secondary crusher that should reduce the use of the refeed circuit and related costs. Looking ahead, we remain confident in our Cote Gold production guidance of 360,000 to 400,000 ounces on a 100% basis, which is actually a doubling of production from last year to this year. The primary focus continues to be the ramp up of the processing plant toward the goal of achieving design capacity of 36,000 tonnes per day by the end of this year. The installation of the second cone crusher in Q4 will provide further capacity and redundancy in the dry side of the plant in support of the operation and potential future expansion. The installation will require a move-to-day shutdown, which is accounted for in the current guidance estimate. Of course, achieving nameplate is just the start of our plans for value creation at Cote. Since initial design, the project has seen considerable resource growth where the original mine plan called for a 36,000 tonne per day plan, targeting just over 7 million ounces of reserves. And yet, now Cote and Gosselin zones combined for over 16.2 million ounces of measured and indicated and 4.2 million ounces of inferred and resources. Or over 20 million ounces together. Therefore, our plan this year is to conduct a thorough drill program of 45,000 meters focusing on the resource conversion at Gosselin in support of a technical report in 2026 that outlines a significantly upsized reserve base combining Cote and Gosselin into a super pit. In the first quarter, we completed about 12,000 meters of this program prior to spring breakup. Operationally, we will continue to look for opportunities to improve, including options to increase processing plant capacity. Several components of the plant have been designed for 42,000 tonnes per day, and we have seen many, many days above 40,000 tonnes per day over the last year. Longer term, a prudent strategy for mining and open pit, particularly in the gold environment where we are in, is to maximize and monetize the number of tonnes of ore mined as they become available for processing. As currently designed, Cote has a mining capacity to average an annual ore mining rate of approximately 50,000 tonnes per day versus our current nameplate processing of 36,000 tonnes per day. As part of the 2026 technical report, we will look to find the right balance to increase the scope of processing rates with the mining rates targeting a larger reserve base of the Cote Gosselin super pit. We believe the results of this will outline a low capital intensive path forward, reinforcing Cote Gold's position as one of the largest gold mines in operation. Turning to Quebec, the first quarter at Westwood saw a step down with production of 24,000 ounces, which was about 10,000 ounces less than the quarterly average last year. Underground mining volumes were generally in line with 89,000 tonnes mined, or 987 tonnes per day. However, underground head grade came in at 6.28 grams per tonne compared to 878 grams per tonne in the same period last year. Grade mined from the underground mine was lower than the prior year due to temporary equipment challenges impacting blasting efficiency that required stope resequencing and increased dilution in certain stopes. We have seen blasting efficiencies and improvement in April, and we expect to see strong volumes from underground this year as the number of stopes drilled and loaded is nearly double what they were last year. Mill throughput in the first quarter was 282,000 tonnes at an average blended head grade of 2.89 grams per tonne and 91% recoveries. Mill availability averaged 94% in the quarter, a good achievement and reflective of our team's ongoing maintenance effort. Cash costs and all-in-sustained costs came in above our guidance ranges for the year due to the lower production volumes, with cash costs averaging $1,527 an ounce and all-in-sustained averaging $2,124 an ounce. Costs are expected to fall within guidance range, seen here as volume increased in the remaining nine months of the year. Looking ahead, we remain confident in Westwood's ability to meet our production guidance with production of 125,000 to 140,000 ounces. Open-pit activities from Grand Duc are currently planned to be completed by the fourth quarter of 2025, though Grand Duc stockpile material will contribute to the new fit into 2027. However, should gold price remain where they are, there is a strong potential for further expansion and extension of the Grand Duc pit, which will be evaluated this year. Finally, looking at Essakane, we saw a modest step up in production from the fourth quarter last year, with attributable production of 86,000 ounces. Mining activity totaled 10.9 million tonnes mined in the quarter, with 2.4 million tonnes of ore mined, translating to a strip ratio of 3.4 to 1, a decline from prior quarters as stripping activities required to open up Phase 6 and 7 moved into the hill view mirror. Build throughput in the first quarter was 3.1 million tonnes, which is in line with the typical quarter at Essakane, with no constraints on supply chains. Average head grades were 1.08 grams per tonne in the quarter, which reflects mining in the upper benches of Phase 7. Grades break down to reconcile slightly below the reserve model during the earlier stages of mining a new phase, and conversely to the positive as mining moves deeper into a phase as was experienced in the first half of 2024 when mining activities were in the later stages of Phase 5. On a cost basis, Essakane reported cash costs of $1,557 per ounce and all-in sustained costs of $1,846 an ounce to start the year. Costs are expected to improve as production improves through the year. As a whole, Essakane's costs have increased over the last few years due to higher landed fuel prices in countries, as well as higher supply chain and transportation costs impacted by the security situation. Further, as the gold price increases, there is an impact to costs due to royalties. For example, in the first quarter, royalties accounted for $203 per ounce. Looking ahead, Essakane is on track to achieve its attributable production guidance target of 360,000 to 400,000 ounces at the cost seen here. The mill is expected to operate at throughput and head grades in line with the current life of mines, though as mining moves deeper into Phase 6 and 7. In the second half of the year, grades are expected to reconcile positively over this period. While the cost of operations in the country has risen over the recent year, Essakane remains a world-class mine positioned to generate strong free cash flows as waste stripping expenditures are expected to decrease year over year. Finally, it is worth highlighting the work ongoing at our second-largest gold mining camp, the Nelligan and Monster Lake project in Chibougamau, Quebec. In the first quarter, we completed over 8,000 meters of drilling on our 13,000-meter program, targeting the extension of the Nelligan deposit. Nelligan's mineral resources estimate was updated earlier this year, which saw indicated ounces increase to 3.1 million ounces with an average grade of 0.95 grams per ton, and an additional 5.2 million ounces in inferred at similar grades. Nelligan's mineralization remains open along strides and at pit, with some of the most encouraging results at pit, as you can see in the diagram here. In addition, the drilling program at the Monster Lake project is also ongoing, targeting high-grade underground structures. With that, I will pass it back to Renaud.
Renaud Adams: Thank you, Bruno. We look forward to the results of this program, as Nelligan has seen rapid growth from a relatively conservative drill program over the last two years. When you combine Nelligan with a high-grade satellite Monster Lake deposit, there are nearing 9 million ounces of resources in this mining camp already, positioning Nelligan at a relatively early stage among the largest gold projects in Canada with significant potential for further growth. Taken together, there is no question that our Chibougamau asset offers significant organic growth potential in this very mining-friendly jurisdiction in Canada. So, thank you all. It is really an exciting time for IAMGOLD, and we're very, very positive about what the rest of 2025 holds for the company. Cote is entering the second quarter at a 90% plus throughput rate, with further improvements to come, including the second cone crusher installation later this year. Westwood currently has record underground inventory ready to blast to drive our productions for the remainder of the year. Essakane is moving into higher grade in the second half of the year, and there is substantial growth to come through the drill bit at Cote and Nelligan. So, stay tuned, and thank you for your support. With that, I would like to pass the call back to the operator for the Q&A. Operator?
Operator: [Operator Instructions] Today's first question comes from Anita Soni with CIBC World Markets. Please proceed.
Anita Soni : Good morning, Renaud and team. Firstly, congratulations on getting Cote up to the 96% throughput rate in the last 30 days. Secondly, I had a question on the mining rates and the grades that you were delivering from the pit. I think it was 0.78, which was a little bit lower than what you delivered at the purchasing head grade. Can you just give me an idea of where your stockpile levels stand, particularly the high-grade and medium-grade portions? Kind of give me some color on how that -- one firstly, how long is that 0.78, the lower grade, while you try to open up the pit, going to persist? And then, are you mining higher grades -- are you upgrading the direct ore feed and supplementing that to the mill while you do that 0.78? Just trying to get an understanding of how the grades and the throughput are going to evolve over the course of the year?
Maarten Theunissen: I'll ask Renaud for more detail, but just as a general comment, Anita, I just want to bring this conversation back to when we released our guidance for the year. Just to remind everyone that for the first six months of the year, there was already a plan to be at the lower grade, as Renaud, the teams, and the Cote are focused on repositioning the phases and so forth. We were already planning that we would be a little bit lower, but we will be using stockpiles and in a second. I'll pass it to Renaud for more detail on that. But to me, there are no real surprises there. Maybe slightly a little lower on the mining side, but because we continue to mill, we were mining at a lower rate than the mining, so you could still increase your grade to the mill for the 1.1 to the 1.2. But no real surprises. Reminded last year it was a bit the same too. You could mine at the reserve grade but increase your milling grade by nearly 50%. But now we're slowing down this. We go more direct feed. We avoid any unnecessary selective mining and so forth. So, Renaud?
Renaud Adams: Good morning, Anita. That's exactly right. In the coming quarters, the grade mine is going to increase more toward the 1 gram per ton. We're also going to be mining more ore grade ore mine over time. So, there will be some selectivity for sure, but we're trying to minimize that segregation so we can mine closer to reserve grade. So, all in all, we're going to be within 1.1, 1.2. We have close to 2 million tonnes grading at over 0.8 gram per tonne, and we have 8 million tonnes grading at 0.55 gram per tonne. So, whenever sometime we need to use a stockpile to feed, the stockpile varies in average around 0.8 gram per ton. But for the next quarter, the grade of the ore mine is going to be higher than 0.78 to answer your question.
Anita Soni: Okay. Thank you. And then just in terms of the grade at Essakane, I think you said the back half of the year would see positive grade reconciliation. I think I also had a declining grade profile for the year. So, does that mean with positive grade reconciliation that should be more of a flat profile for the year?
Renaud Adams: It's going to be quite flat, to be honest. For the remainder of the year, it's going to be a grade that is going to be above the 1 gram per tonne. And because we're mining more ore than we are processing, we're going to be slightly selecting the higher grade material for the new. But we also expect to see the reconciliation to be as good as what we see right now.
Anita Soni: Okay. And then…
Bruno Lemelin: So, maybe Anita just to add to this, if you look at 2024 was a bit of the opposite, right. So, as we move from Phase 5 to eventually exiting and entering those phases, I wish and hope that we're going to see very good results as we transition to the higher grade. Of course, we need to use what we see in reserve to plan and support. But it's very likely that we see the same phenomena that we've seen in other phases. And as we transition to the better zones, that we will see a significant kick in the head grade. So, we're definitely expecting a stronger than Q1. But as Renaud said, we remain consciously prudent to not overstate what we could potentially see as grade. But we should normally see the same phenomena as we enter deeper zones.
Anita Soni: And then, just on the unit cost that has to change, the processing cost came in better than I had expected. I mean, better than any of the quarters you posted last year. So, is there anything driving that in particular? Is it currency? Or is that something that will persist over the rest of the year? Or is that just maybe just sort of a one-time new one?
Renaud Adams: No, nothing specific. Go ahead, Maarten.
Maarten Theunissen: Morning, Anita. One thing that is happening is, I believe, Essakane is running at a bit higher throughput rate, which is driving down the time. So, it's a bit absorbing some of the fixed costs.
Anita Soni: Okay. I'll leave it there and get back into the queue. Thanks.
Operator: [Operator Instructions] And the next question comes from Mohamed Sidibe with National Bank. Please proceed.
Mohamed Sidibe : Hi, Renaud and Team. Thanks for taking my question. And maybe just to follow up on that, Anita, is there any cost improvement at Essakane? I was just wondering if this was also maybe positively impacted, or if you expect to see any positive impact from the lower fuel prices or diesel prices that we're seeing. Any comments on that?
Maarten Theunissen: So, the total cost that we spent at Essakane was actually in line with what we expected to spend, and in line with prior years as well. Fuel costs in Burkina takes a bit longer to adjust to the market prices, so we've not seen the reduction in fuel prices coming in there. So, it is really because we have processed it, but it's more a unit throughput impact that is driving it.
Bruno Lemelin: And maybe I could add to this. I mean, when you look at the previous quarter, I wouldn't necessarily say that the mining costs were necessarily lower. I think they were in line with previous. But we did notice reductions of the milling processing costs in the one quarter, as Maarten noticed, compared to last quarter. But in the last year, we were systematically more like in the 1,850 and so far achieved 1,750. Yes, some good results, but we'll see in the next quarter. Sometimes it's just a bit of the timing of certain expenses and so forth. But we're definitely confident that we could repeat, at least minimum repeat, what we achieved last.
Mohamed Sidibe: Great, thank you. And then just my second question would be at Westwood. Given the lower grade in the quarter because of the temporary equipment challenges, could you maybe give us a little bit more color into what the grades may look into Q2? Is Q2 expected to be slightly still impacted by that, or should we see a material improvement into Q2 at Westwood? Thank you.
Renaud Adams: I'll ask Bruno to add some comments to it. So definitely, we're going to see an increase as we advance in the year. With the change of the mining sequencing, of course, we went to a lower grade. The throughput is there. The total tonnes. It's just a matter of retransitioning back into. And there is no reason that you do not see the same as we were mining last year, as we were approaching the end of the year. Bruno?
Bruno Lemelin: Yes, so Mohamed, the grade for Westwood is going to be, for the underground mine, is going to be around between 8 and 12. So depending on the sequencing that we're going to be in. The goal for us is always to try to be as close to the reserve grade underground as possible, like 9, 10 grams per tonne. So this is what we see for the next quarters and for the year.
Mohamed Sidibe: Great, thank you. And if I could maybe slide in one last question now, just on Burkina, on the security situation and maybe the commentary made recently by the Prime Minister. Bruno, did you have any additional comments in color on that?
Bruno Lemelin: I think internally, we remain extremely confident. Like, the security situations, we wouldn't see worse than the other. So we continue to operate another quarter without any disruptions in the supply chains and so forth. To me and to us, there is really nothing new happening. There's a lot of talking and so forth. But it's the same information that's been repeated from the last year and so forth. There is a question a bit on the timing of certain of the aspect, but no, we, I think we're relationship and work with the government remain very strong. We never even remotely close to things that Essakane could be referred and those that come and if any, a lot of it is the interpretation. So, no, we remain very confident to continue to operate strong operations, maintain the security, allowing us to operate at 100% capacity and so forth. And so far, we haven't seen anything but the strong support from the government in all matters. So, no, we do not see it as an increased risk.
Mohamed Sidibe: Great. Thank you. And congrats on a good quarter at Cote.
Operator: And the next question comes from Tanya Jakusconek with Scotiabank. Please proceed.
Tanya Jakusconek : Yes. Good morning, everyone. Thank you for taking my questions. And congrats on getting the mills back up again at Cote doing quite well. I have a few questions. The first one I wanted to start on was just on Essakane. When you put out your cost guidance, I seem to remember it was a much lower pricing than $3000. And now that we have the increased royalty rates from the government, it's over $3000. They get to 8%. Can you remind me if your cash cost guidance reflects that? This is for Essakane.
Renaud Adams: I'll pass it to Maarten. Thanks for that.
Maarten Theunissen: Good morning, Tanya. So, our cash cost guidance assumes the dividend and the increases, but our gold price assumption in our guidance was $2500 an ounce. So, if we look at our forecast, even with that increase, we still expect to come within the guidance range. Yes.
Tanya Jakusconek: Okay, I just wanted to make sure because everyone's guidance is at that $2500, $2600 and all of these things that are moving up. And you just want to make sure that that still is reflective in that guidance. Okay, so thank you so much for that. And then just maybe continuing on just, again, I think when we last spoke, we were expecting a weak Q1. And then the strongest would be the Q4 with a stronger second half. Do we have an ability to, so we obviously have improvements happening Essakane seems to be flattish? We have improvements at Westwood and Cote, I think quarter on quarter at Cote and Westwood, I don't know if it's evenly divided in the next three quarters, but can we kind of try and break? Are we at that $48.52? Are we at $45.55? Just to have an idea of how the year shakes out.
Maarten Theunissen: There's a lot of component into this, but I'll let Bruno start.
Bruno Lemelin: So, at Essakane, it's going to be clearly a stronger H2 than an H1 thing. Because, as you know, as we dig deeper into Phase 6 and 7, we're going to see the higher grade in the second half of the year. For Westwood, we should see the resume of the average production that we have enjoyed over the last quarters, hovering over 30,000 gold ounce per quarter. And Cote, that's going to be a continuous ramp up, gradual ramp up, almost linear toward the end of the year.
Renaud Adams: So, clearly the second half will be stronger as you combine the three elements that Bruno is mentioning. Of course, we have some tie-in to do with the crusher and so forth. But globally speaking, we see the three mines pretty strong in the second half, with some sort of a bit of a transition in Q2, right, to all of those aspects at the end. But it's really the second half that's going to highlight the year.
Tanya Jakusconek: Yes, so maybe Q2 just a bit better than Q1, and then you have the bump up in Q3 and Q4.
Renaud Adams: Yes.
Tanya Jakusconek: Yes, okay.
Renaud Adams: The three mines should perform well in Q2 compared to Q1.
Tanya Jakusconek: Yes, okay. And then maybe coming back to what Maarten was just saying when he talked about the balance sheet, and he said, you know, ultimately looking to return to shareholders through share buyback, dividends, et cetera., maybe we can kind of review what do you need to see, both from an operational standpoint and a balance sheet standpoint, before you would be comfortable in thinking about shareholder returns.
Renaud Adams: Well, I will let Bruno and Martin describe how we think, you know. But, you know, definitely we don't see discounting, you know, and difficulties, and also carry a certain level of debt. But I would definitely see on this year, we want to see a reduction of our net debt cost and volume. And eventually, of course, with the priority on the expensive $400 million term loan, that would be a priority. We don't necessarily see this company with the need to go absolutely that's free debt -- debt free in the very short term. But, Maarten, maybe you could add to this. But for us, it's really about bringing the level and cost to the, what we call, debt in costs, and then after that, rethinking our capital allocation. Maarten?
Maarten Theunissen: Yes, thanks, Renaud. And our focus will remain over the next 12 months to continue to perform in line with our production guidance. And depending on the gold price, it depends on how we would look at it. First priority is reducing the level of debt and our cost of debt. And then once we get to the back end of that, depending on what the gold price is, it will impact middle of next year or end of next year to see if there are options available. But it's hard because, as you know, the gold price has been very volatile. So our approach would just be to continue to focus on performing and executing on our data and then evaluate options when we're ready.
Tanya Jakusconek: Do you have a net debt to EBITDA target that you want to get to before -- and that would capture a gold price that, you know, you want to get to before you would start thinking about capital returns?
Maarten Theunissen: Our net debt to EBITDA ratio at the moment is about 1.1. We would like for it to be at 1 or less than 1. But you can't look at that when the gold price is about $3,000. So you need to look at what it would be if the gold price is lower as well. And that's why we say we continue to look at that, not just based on what the current gold price is, but also what it would potentially be when we are making those decisions.
Tanya Jakusconek: Okay. And I seem to think that you mentioned, you know, within 12 months out. So it wouldn't be something that we should think about for 2025. It would probably be in mid '26 and thereafter. Would that be a fair statement?
Maarten Theunissen: Yes, that would be a fair statement. The gold pre-price was a big repayment, a big impact on cash. We continue doing that. And then there's a lot of -- we have $200 million on our credit facility and $400 million on the second lien. So those are our sole big plans we have.
Renaud Adams: But I think, as you mentioned, Tanya, so as you hit like mid-next year, you know, should the gold price remain and our asset delivers, I think we're going to be in pretty good shape in the second half of next year.
Tanya Jakusconek: And can I ask an exploration question? I wanted to go back to the Chibougamau and that emerging district. And maybe just a little -- you know, someone can explain to me, like, so what are you -- how do you see this camp evolving? And how do you see yourself, you know, in this camp? Do you think you can do this on your own? Would you bring a partner in for this? Maybe some color on how this camp and your involvement in it?
Renaud Adams: No, thank you for that. So what I like about this is not like a kind of a one source of -- if you're looking at, you know, the map and sketches, you know, there is a -- it's really a trend, it's really a camp. It's not just limited to one. So, yes, we're thinking big when it comes to Nelligan, Monster Lake. We have seen as well the hit ratios of our drilling in the last two years, which is also pretty exceptional. And it comes, you know, and it opens. And there is other area within the camp we haven't barely touched. But how do I see it? I see it eventually at large as gold resource based in the camp that combines open pit of all type of average Canadian grade with underground high grade. Like two things that we're good at doing. And the combinations of both approach from day one will give you a lot of flexibility. Over the next two years, what I keep reminding everyone internally, because everyone is excited about Nelligan is drill, drill. Like our objective in the next two years, you know, '25, '26, benefiting some through a filter we've taken this earlier this year, is to build a resource base, a large open pit of all resource base combined with a pretty decent underground high grade. So, this is the objective of the next two years. I don't like to look at too much of the mine ability of it in the short term. I prefer to think that we don't know yet how big that could be. But I don't see how this can could not be a 15 million plus ounces over time. And this is what we're focusing on. So, by the time we put the next study at Cote out there, it is our objective to have position already Nelligan to a certain point as we can look at it as the next. When it comes to bringing partners, I think the situation has changed significantly. This company over the last few years, I don't see any need in a too early timeframe. I think we have more than the capacity, talent and resources to bring this resource base to the next level. But we would always consider the risky aspect when it comes to the next phase and so forth. It's early stage. At this stage, we don't have plans to bring. But we have an excellent experience of partnering with someone and building world class. So, we don't necessarily say that this won't happen, but we just don't need to. Absolutely, I don't see the need for a partner at this stage and prefer to bring this large resource base at 100%.
Tanya Jakusconek: I was looking at it more from a talent perspective, right? Because there's only so much. Well, good luck with the drilling. And thank you for the slide. Look forward to hearing more about it as you drill away over the next few years.
Operator: Our next question comes from Carey MacRury with Canaccord Genuity. Please proceed.
Carey MacRury : Hi, good morning, guys. Just a question on Essakane. Your reserves are at $1,500. I'm just wondering if you can just remind us what the mine life you're assuming there is? And if your reserves were at $2,000 or $2,500, what's the mine life extension potential there?
Renaud Adams: I'll pass it to Bruno.
Bruno Lemelin: So, good morning, Carey. Of course, with the gold price increasing close to $1,000 over the last six months, we'll have to revisit our gold price assumption when revising our mineral resources and mineral reserves. So, this is a good question. We're going to change our current assumption. And it will certainly have an impact on our Essakane mine. Right now, we have enough material up until 2029. This year, we decided to have a more intense drilling campaign to see what would be the potential of Essakane inside the fence. As you know, with the security situation, we're not exploring too much outside the premise of the mine. And so far, what we're seeing is we're seeing the deposit continue to extend north and south and at depth. So, we're looking at different phases, and that will have to be evaluated with any new gold price assumption. So, I think we'll be able to come up with new information once we have a new mining plan that will dictate how many years we could gain according to those new gold price assumptions, and according to those new models coming from exploration.
Renaud Adams: I'd like to add to this that while definitely we see the industry, and I think it's just a matter of time, you will see some increase in the gold price use for reserves. We're at quite a bit of a gap here. But I also want to stress that our strategy is largely to improve and increase through the drill depth. So, don't want this company to be depending on the gold price to perform or to increase and so forth. So, the gold price helps in a lot of ways, in the debt repayment and so forth and the cash flowing. But it's important to us to measure performance and financial buying, how good we are to execute. And I think we've come along in the last two years in that way. So, expect us to use the gold price to increase our drilling efforts. So, this is where I want to see most of the ounces coming from the drill depth.
Carey MacRury: Okay, great. That's it for me, and congrats on the progress at Cote.
Operator: The next question is from Lawson Winder with Bank of America Securities. Please proceed.
Lawson Winder : Thank you, operator, and good morning, Renaud and team. Thanks for the update. Can I ask about Westwood and the potential to extend the life of the open pit and add additional resources from Grand Duc? What is it that's being considered there? Is there a conversion of some of that inferred resource to the plan? And would you be able to give us an idea of what we're talking about in terms of ounces? There's about a 1.8 million ounce inferred resource there. It's a large piece of open pitable material?
Renaud Adams: Bruno?
Bruno Lemelin: Good morning, Lawson. So, the Grand Duc is what we call strictly a swing producer. It's very low grade, and what it does is it helps stabilizing the mill. It's a constant feed as opposed to the feed coming from underground that's a little bit more coming in a heuristic manner. So, we extract from the underground mine close to 400,000 tonnes a year, but we have mill capacity that exceeds that. So, we want to capture that excess capacity to monetize any kind of source that would be in and around the Westwood complex. So, Grand Dud so far ticks all the checkbox. However, now I think we are at a certain limit under which we need to evaluate if a further expansion would be making sense because it will require capital and moving some infrastructure. So, there's always like a limit which you can expand, and that's what we're going to be evaluating. Otherwise, Grand Duc has been very good for us, giving us like 30,000, 40,000 gold ounce a year, 20,000 something. And it's a stabilizer. We see it as a stabilizer as the underground operation progresses.
Renaud Adams: And about the same thing, too, as my previous comment, I think there is an unbelievable opportunity at Westwood here to increase evaluation through crystallizing more reserves. We have a resource base of over 3 million ounces, and just released last year a technical report limiting it to a million ounces. Our confidence, of course, in how we see Westwood over the next year is more than 1 million. So, there is a good room and opportunity as well through the drill pit to convert some and maybe work a bit on modernizations in mine plan, but hope that it's an interesting opportunity to have to increase reserve and valuation.
Lawson Winder: No, I agree. It is very interesting. Can I ask about the underground mine? So, you're targeting 1,000 tonnes per day in terms of a mining rate. I guess put this question two ways, is, one is what are the underground process improvements that you're actually working on? And then, thinking of those, what is the potential to expand beyond that 1,000 tonnes per day? What's the theoretical limit given the ground conditions and other considerations around the geology and geotech?
Renaud Adams: So, to answer the question, actually we're aiming at 1,000 tonnes per day. We are seeing good days at 1,100. Ultimately, what we'd like to achieve is 1,200 tonnes per day, and we believe that the limit would be closer to 1,300 tonnes per day without changing too much of the infrastructure. Most of the improvement would come with an improvement in underground transportation of the yard. That's what we did. We made some capital investment on our trucks and scoop trams and haulage and our path system. And as well, in terms of mine design and blasting techniques using upper results, instead of the regular sub-level long-term drilling. All in all, we're doing a lot of great improvement month after month. And we see, I would say, 30% improvement potential, but yet to be captured.
Lawson Winder: Okay, very helpful. And look, I appreciate you guys making time here. I'm just realizing we're about two minutes past the hour. If I can, I'd like to ask one more question, just thinking around capital allocation and the balance sheet and how it's set to improve quite materially here. In the context of the recent Canadian asset sales from Newmont and Barrick now having this ongoing process to sell Hemlo, how does M&A compete with the internal options, including expansions at Cote and the projects at Chibougamau?
Bruno Lemelin: To me, it's more than one piece. If you're really looking at our portfolio, next year we're going to put in a new technical report out there on Cote, had a significant increase in reserve resources. I would just talk about the net again and so forth. So when you're looking at our potential organic growth for the next years to come, we truly do not see at this stage in our company the need to, in the short term, absolutely not. We're going to focus on our assets. Down the road, I mean, we'll see, right. Down the road, we'll see, but at this stage, for us, it's more than companies. It would create more value to focus on organic growth and finance. And sorry for the background noise. We're competing with the window cleaners, so perfect timing. Sorry about that.
Lawson Winder: That's great. You're coming through loud and clear. Thank you so much.
Operator: And this does conclude today's question and answer session. At this time, I would like to hand the call back over to Graeme Jennings for any closing remarks.
Graeme Jennings: Thank you very much, operator. Thank you, everyone, for joining us this morning. As always, should you have any additional questions, please reach out to Renaud or myself. Thank you all. Be safe and have a great day.
Operator: Thank you. This brings to a close today's conference call. You may now disconnect your lines. Thank you for participating and have a pleasant day.